Operator: Good afternoon, and thank you for standing by. My name is John, and I will be your conference operator today. At this time, I would like to welcome everyone to the ZipRecruiter, Inc. First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. [Operator Instructions]. I would now like to turn the conference over to Emilio Sartori, VP of Finance and Investor Relations. Please go ahead.
Emilio Sartori: Thank you, operator, and good afternoon. Thank you for joining us in our earnings conference call during which we will discuss ZipRecruiter's performance for the quarter ended March 31, 2025, and guidance for the second quarter 2025. Joining me on the call today are Ian Siegel, Co-Founder and CEO, David Travers, President and Tim Yarbrough, CFO. Before we begin, please be reminded that forward-looking statements made today are subject to risks and uncertainties relating to future events and or the future financial performance of ZipRecruiter. Actual results could differ materially from those anticipated in these forward-looking statements. A discussion of some of the risk factors that could cause actual results to differ materially from any forward-looking statements can be found in ZipRecruiter's quarterly report on Form 10-Q for the quarter ended March 31, 2025, which is available on our investor website and the SEC's website. The forward-looking statements in this conference call are based on the current expectations as of today, and ZipRecruiter assumes no obligation to update or revise them, whether as a result of new developments or otherwise. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from GAAP results. Reconciliations of the non-GAAP metrics to the nearest GAAP metrics are included in ZipRecruiter's shareholder letter and in our Form 10-Q. And now I will turn the call over to Ian.
Ian Siegel: Thank you, and good afternoon to everyone joining us today. We believe ZipRecruiter is at the forefront of transforming the recruitment industry, an expansive opportunity that is primed for technology driven solutions like ours. From innovative product features like Zip Intro to our next generation resume database to our acquisition of Breakroom and to the expansion of our applicant tracking system integrations, the ZipRecruiter marketplace continues to get stronger as we generate more engagement from both job seekers and employers alike. I am excited about the progress we are making towards our mission of actively connecting people to their next great opportunity. We were cautiously optimistic as we started 2025, seeing a stronger sequential increase in employer activity compared to the prior two years. Q1 2025 quarterly paid employers increased by 10% sequentially, which is the highest Q4 to Q1 growth since 2021. Q1 revenue of $110 million declined by 1% sequentially versus Q4 '24, which represents a fairly typical seasonal pattern as employers resume hiring after the holiday slowdown. This compares to sequential declines of 13% and 10% in Q1 of '23 and Q1 of '24, respectively. However, uncertainty about the macroeconomic outlook has increased. While we've yet to see a pronounced pullback in employer hiring, we are also not seeing an acceleration in hiring activity as we enter the second quarter. This informs our Q2 revenue guidance of $111 million at the midpoint, representing a 1% increase quarter-over-quarter. Despite the macroeconomic uncertainty, when looking at the full year, we still believe achieving year-over-year revenue growth in the fourth quarter is a likely scenario, a view that we shared last quarter. We also continue to believe that our full year adjusted EBITDA margins in that scenario would be in the mid-single digits as we maintain our investment behind long term strategic initiatives. Our robust balance sheet and financial flexibility allow us to be prepared for a wide range of outcomes this year, while still operating with a long term focus to spur more meaningful interactions between employers and job seekers. We believe we are poised for outsized growth when the inevitable recovery in the labor market returns. I will now turn the call over to Dave to share business highlights.
David Travers: Thank you, Ian, and good afternoon. As Ian touched on, despite the shifting economic environment, we continue to meaningfully improve our marketplace to deliver a better experience for both employers and job seekers. I'm excited to share a few highlights with you. First, we continue to build out our applicant tracking system integrations. Our 180 ATS integrations are an investment a decade in the making, enabling a more seamless hiring experience for enterprise employers. In Q1, ZipRecruiter achieved Workday certified integration status, deepening our integration with the largest enterprise ATS in the market and expanding our reach amongst top enterprise companies. With this improved integration, we can now pass applications from ZipRecruiter's site directly to Workday ATS customers, support screening questions within the application flow, and ensure more jobs utilize our Zip Apply product. Employers who use Zip Apply receive 3x more applications for their roles and get their first five candidates 4x faster. This provides a seamless platform handoff experience that allows job seekers to stay on ZipRecruiter while employers never have to leave the Workday platform. Following the launch of our next generation resume database in Q3 of '24, we continue to release improvements that build on its existing capabilities for employers of all sizes. In Q1, we released features focused on enhancing collaboration between teams when proactively sourcing candidates. Now employers can share resumes with other users, transfer project ownership between users and move candidates between roles they're hiring for. Employers have quickly embraced the new features. For example, of the enterprise employers who purchased RDB Views, we saw a 9% increase in the resume unlock rate versus the prior quarter. A key strategic focus for ZipRecruiter is driving and accelerating engagement between employers and job seekers. An example of this is Zip Intro, which brings employers and job seekers together for face to face video conversations fast. Building on the momentum of the release of Zip Intro in 2024, we rolled out a new feature in Q1 that allows employers to schedule phone, video and in person meetings with candidates directly in our Messages app. This feature helps employers engage with candidates even faster, providing a more efficient hiring experience for employers and job seekers alike. Employer adoption continues to increase with scheduled sessions growing 16% quarter-over-quarter in Q1. And finally, we continue to drive better performance for our enterprise customers. Our enterprise customers manage sophisticated hiring campaigns for different roles across multiple geographies. They rely on us to optimize their campaigns, driving high quality candidates to their jobs. In Q1, we improved the bidding model in our automated campaign optimization solution, resulting in a 7% month over month increase in applications delivered to enterprise customers in the first month of launch. We are constantly developing and implementing ways to make our marketplace better, which positions us to deliver more value to job seekers and employers alike. I'll now turn the call over to Tim to review financial results and guidance. Tim?
Tim Yarborough: Thank you, Dave, and good afternoon, everyone. Our first quarter revenue of $110 million came in above the midpoint of our guidance, so represents a 10% decline year-over-year and is down 1% quarter-over-quarter. The sequential revenue decline of 1% represents a more typical seasonal cadence as employers resume their hiring campaign after the holiday slowdown versus the sequential declines of 13% and 10% in Q1 '23 and Q1 '24, respectively. Quarterly paid employers were 63,000, representing an 11% decrease year-over-year, but a 10% increase sequentially. While the year-over-year decrease is reflective of continued uncertainty in the hiring market, the sequential growth represents our largest Q4 to Q1 sequential increase since 2021 and stands in contrast to the negative 2% and positive 1% quarter-over-quarter changes in Q1 '23 and Q1 '24, respectively. Revenue per paid employer was $1734, up 2% year-over-year and down 10% sequentially. The increase year-over-year is primarily due to the slight mix shift from subscription revenue to performance revenue, while the quarter-over-quarter decrease is consistent with the seasonal patterns we have seen historically when quarterly paid employers grow after the holiday slowdown in Q4. Net loss in the first quarter was $12.8 million compared to net loss of $6.5 million in Q1 '24 and a net loss of $10.8 million in Q4 '24. Q1 '25 adjusted EBITDA was $5.9 million equating to a margin of 5% compared to $20.8 million a margin of 17 in Q1 ‘24 and $14.4 million with a margin of 13% in Q4 ‘24. Net income and adjusted EBITDA decreased year-over-year primarily driven by revenue declines, while the sequential declines were primarily driven by higher marketing and personnel expenses. Cash, cash equivalents and marketable securities was $468 million as of March 31, 2025. In Q1, we purchased 4.6 million shares totaling $27.4 million. Moving on to guidance. Our Q2 '25 revenue guidance of $111 million at the midpoint represents a 10% year-over-year decline that was up 1% quarter-over-quarter. Our Q2 guidance assumes a continuation of paid employer trends we have observed to date. While we are prepared for a wider range of scenarios given the increased macroeconomic uncertainty versus last quarter, we remain cautiously optimistic. Employers are keeping hiring activity steady while navigating the volatile landscape created by the macro uncertainty. Our adjusted EBITDA guidance for Q2 '25 is $7 million at the midpoint or a 6% adjusted EBITDA margin. We remain disciplined in deploying marketing dollars towards campaigns we believe will drive strong ROI, letting data guide our decision making as we continue to build the ZipRecruiter brand and marketplace. Looking at the full year, we believe achieving year-over-year growth in the fourth quarter is a likely scenario, consistent with the view we shared last quarter. We also still believe that in that scenario, year adjusted EBITDA margins in the mid-single digits would be a reasonable expectation as we continue to invest in long term strategic initiatives. As the macroeconomic backdrop evolves, we continue to remain nimble, making ROI positive sales and marketing investments if the data shows signs of recovery and conversely pulling back on spend and generating higher adjusted EBITDA margin if hiring demand further erodes. The strength of our balance sheet and the flexibility of our business model allows ZipRecruiter to navigate uncertain periods with a long term disciplined focus. We remain confident in our ability to capture market share in the vast recruitment TAM by investing in product and technology and fundamentally changing how employers and job seekers connect. With that, we can now open the line for questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. The first question comes from the line of Ralph Schackart with Williams Blair.
Ralph Schackart: In terms of the wait and see attitude, I think, that you called out and talked about on the call here. Is that sort of, I guess, widespread across geographies and, I guess, different verticals? Or would it be perhaps more focused, I don't know, tariff related, I guess, types of positions?
Ian Siegel: That is a great question. And what I would say about that is, while the bounds of uncertainty on the macro are increasing, what is true today is that our internal data shows that employers have not yet pulled back. So employer hiring activity is consistent with the trends that we observed coming into 2025. That informs both the quarterly guidance that we've provided you as well as the outlook of achieving year-over-year growth in Q4 of 2025. We are watching this closely. We have very sensitive measurement capabilities of what is going on with hiring demand, and we have the ability to rapidly respond either way. So if we see hiring demand increasing, we can increase investment rapidly. If we see it decreasing, we can pull back investment rapidly. We're watching it closely. Obviously, these are interesting times. And so we will continue to monitor it. But as of right now, the data that we see internally does not reflect any sort of pullback from employers.
Ralph Schackart: Great. Maybe just a follow-up there. And when you're having conversations with SMBs and enterprise alike, what are the signs that they're waiting for to maybe become a little bit more optimistic and lean more aggressively into hiring trends? I know you said that the quit rate is still really, really low, but just kind of curious what you're hearing from your customer base.
David Travers: Thanks, Ralph. This is Dave. Yes. So as you said, we talk to our customers of all sizes all the time. And what we hear from them consistently when it comes to hiring decisions as well as CapEx and other major investment decisions is that certainty is what helps them. So understanding what the rules of the road are and having confidence those will remain the rules of the road for quarters and years to come is what we hear them talking about. We've definitely noticed a change over the past few months in the tenor of some of those conversations as they talk about what they expect in the future. But their behavior, as Ian just referenced, has been consistent with what we talked about last quarter.
Operator: Your next question comes from the line of Josh Chan with UBS.
Josh Chan: So I guess in light of your comments about the balance of uncertainty within the macro, how do you expect to manage your investment trajectory if the signals could change and even go back and forth? So I guess how are you planning to adjust for an environment that could get better or worse at any time, I guess?
Tim Yarborough: Josh, thanks for the question. This is Tim. So we let the data drive our decisions. So even when the bounds of uncertainty remain fairly wide, we're prepared because we have a very flexible operating structure. So we can dial up our sales and marketing investment to take advantage of opportunities as they materialize fairly quickly, and that's because we retain a lot of flexibility across multiple channels of marketing. And on the other side, if things erode, then we can cut back on spending significantly because we have strategically not committed significant amounts of capital into future periods. So as we reflect on Q1 and look forward to Q2, we're letting all of the data that we see right now guide our decisions, but again, retain that flexibility to be prepared for a wide range of scenarios.
Josh Chan: And could you remind us what the typical seasonality is going from Q1 to Q4? And is that what gives you confidence that Q4 can grow year-over-year? It's just assuming normal seasonality kind of continues from here.
Tim Yarborough: Sure. Yes. So normal seasonality would show something like sequential growth from Q1 to Q3 and then oftentimes a dip going from Q3 to Q4. And so when we talk about the likely scenario of achieving growth by Q4, it's based on the trends that we've seen so far continuing throughout the course of the year.
Operator: Your next question for today comes from the line of Trevor Young with Barclays.
Trevor Young: Just two for me. First, just related to kind of employer behavior. I appreciate you're not seeing a sharp pullback nor an acceleration. But are you seeing any other behaviors that would be indicative of some increased hesitancy? I'm thinking things maybe like reviewing candidates longer or fewer candidates or maybe taking longer to fill a job that would be kind of indicative of like a higher bar to hire a candidate than previously? And then second, on the marketing side, are you finding new opportunities to deploy dollars attractively with some marketing channels, see other advertisers pull back? I think historically, you said you try to be opportunistic when some dislocations happen. I'm just wondering if that opportunity has presented itself yet.
David Travers: Great. Thanks, Trevor. This is Dave. I'll take the first one on employer behavior. We have seen a change in employer behavior during the post COVID period, where employers don't feel the pressure to move as fast as they did at the peaks of the great resignation in '21 and '22. And so they have felt the ability to take slightly longer, wait a little bit longer to see which candidates come in on the margins. That said, they're still moving fairly quickly with a relatively good dose of confidence when they do decide to hire. But that really, that change in the rush to hire has really been much more correlated with the quits rate than anything about recent changes in macro outlook and the sort of overall sentiment about how the shape of the macro economy may go over the year. So we have seen over a few years a shift, but nothing over the past few months that looks notable or different. The main thing we see is that behavior has been quite steady in the wake of notable uptick in future oriented qualitative confidence in November, December, January and a notable downtick since then in qualitative confidence. But throughout that period, consistent with the guidance Tim talked about, we've seen steady behavior from employers.
Ian Siegel: Yes. And on the marketing point, this is Ian. We've seen a relatively consistent slate of competitors in the media channels in which we advertise. That said, we're definitely seeing some of them pull back to some degree in some of those channels. However, both the demand we're seeing from employers and the response we're getting to the advertising we're running has been consistent since we've entered the year and is not explained by or fully bolstered by the fact that competition and competitive levels are changing. This looks more endemic to the overall market itself and the level of appetite employers have for hiring and the eagerness and the frequency with which they are looking for solutions.
Operator: And since we have no further questions at this time, that concludes the question and answer session in today's conference call.
Operator: We thank you for your participation. You may now disconnect your lines. Have a pleasant day, everyone.